Operator: Good day and welcome to the Unisys third quarter 2008 results conference call. At this time I would like to turn the conference over to Mr. Jack McHale, Vice President of Investor Relations at Unisys Corporation; please go ahead sir.
Jack McHale : Thank you, operator. Hello everyone and thank you for joining us this morning. About an hour ago Unisys released its third quarter 2008 financial results. With us this morning to discuss our results are Ed Coleman, our CEO; and Janet Haugen our CFO. Before we begin let me just cover a few items. First, today’s conference call and the Q-and-A session are being webcast by the Unisys investor website. Also, you can find on our investor website, the earnings release and the presentation slides that we will be using this morning to guide our discussion. These materials are available for viewing as well as downloading and printing. Third, today’s presentation, which is complementary to the earnings press release, includes some non-GAAP financial measures. Certain financial comparisons made in this call will be with and without the impact of retirement expense and restructuring charges. In the presentation we have provided a reconciliation of our reported results on a US GAAP basis compared with our results excluding the impact of restructuring charges and retirement expense. Finally, I’d like to remind you that all forward-looking statements, made in this conference call are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. These factors are discussed more fully in the earnings release and in the company’s SEC filings. Copies of these SEC reports are available from the SEC and also from the Unisys investor website. Now, let me turn the call over to Ed.
Ed Coleman: Thank you, Jack. Hello, everyone. I’m delighted to be here and to be speaking with you for the first time today. I hope to meet many of you in person in the months ahead. I thought I’d start this morning by taking a few moments to give you some background about myself and why I joined Unisys. I’m extremely excited about taking on this role, and the opportunity to lead this Company. Unisys is one of the best known in enduring brand names in IT. The company has tremendous assets to build on; our people, our global network, our services and solutions, our technology and a 100 plus year history of innovations. I come to this job with a great deal of optimism. Despite the ups and downs that Unisys has gone through in the past and the current challenges facing the global economy, I see much unrealized value here. Working together, we can unleash this potential and make Unisys a leader again in targeted areas where we can lead, grow and command competitive profit margins. I’ve spent my entire 30 year career in the IT industry, first with IBM, then at Computer Sciences Corporation and later as CEO of CompuCom, President of the Computing Solutions Business of Arrow Electronics and most recently CEO at Gateway. I love this industry and I have a passion for services and solutions and by helping companies become market leaders by targeting unmet needs in the market and delivering on those needs better than anyone else. Most of all, I have a passion for leading IT companies through transformational change; by that I mean change that extends through every aspect of a company; from its strategy and business model, to its operations and go to market approach, to the person delivering a service or solution to a client. As just one example of this kind of change in a previous CEO role, we transformed the company from a commodity computer reseller with paper thin margins, to a value added provider of IT outsourcing services. Recognized as a leader by Gartner and highly regarded by other industry analysts and customers alike. It took some time for this to happen and involved significant strategic operational and cultural change, but it paid off. In my experience, corporate change programs work when they are simply structured, clearly organized, consistently communicated and executed from top to bottom with straightforward lines of accountability. It’s not a complicated formula but as with anything, the hard part is in the execution, but when you get it right, the benefits could be tremendous for shareholders, clients and employees. I’ve had only a few weeks on the job here and haven’t worked out the exact formula for Unisys, but this morning I would like to share with you my initial impressions and priorities. Before I do this, our CFO, Janet Haugen will review our third quarter 2008 results.
Janet Haugen: Thanks Ed and hello everyone. To start, please turn to slide one of the presentation for an overview of the quarter. This was a difficult and disappointing quarter for the company. We did not execute well against our priorities and our third quarter demand was impacted by the economic uncertainties in our key commercial markets, particularly financial services and by a slowdown in our federal business due to slower government spending. Clients responded to tight credit conditions and recession concerns by reducing IT spending. We saw the impact of that both in orders and revenue. Reduced revenue volume against fixed costs led to lower than expected margins in our services business and overall. There were some positives in the quarter. We saw growth in our non-US federal public sector business and we were able to close a number of key second half ClearPath deals in the third quarter. This resulted in growth in our ClearPath revenue and aided margins in our technology business in the quarter. In addition, by tightly managing working capital, we generated free cash flow in the quarter, a key focus for the company. We generated $114 million of operating cash flow and $36 million of free cash flow in the quarter. We expect market conditions to remain challenging in the fourth quarter and we will be reducing expenditures as we work through this environment. This morning I will provide more details on our third quarter 2008 financial results including cash flow. To begin, please turn to slide two for a summary of our third quarter 2008 results. At the top line, we reported revenue of $1.31 billion in the quarter, down 6% year-over-year. Currency had a two percentage point positive impact on our revenue in the quarter. Based on today’s rates, which reflect the recent currency movements, we anticipate a seven to eight percentage point negative impact on revenue in the fourth quarter. Our results in the third quarter include $3.7 million of pretax retirement related income, compared with $22.8 million of pretax retirement related expense in the third quarter of 2007. We reported an operating profit of $37.9 million in the current quarter. This was down from the operating profit of $43.6 million in the year-ago quarter. Interest expense increased by $3 million year-over-year, primarily reflecting higher interest rates on the $210 million of debt that we refinanced in December 2007. We reported $6.1 million of other expense in the quarter, compared with $19.3 million of other expense in the year-ago quarter. Other expense in the year-ago period included approximately $11 million to settle a missed sheet audit. On a pretax basis, we reported income of $10.3 million in the quarter, up from the pretax income of $5.8 million a year ago. Tax expense was $45 million in the current quarter, principally driven by income generated in international tax paying jurisdictions. As a reminder, our tax provision continues to be highly variable from quarter-to-quarter, depending on the geographic distribution of income. At the bottom line, after taxes, we reported a third quarter 2008 net loss of $34.7 million, or $0.10 per share. By comparison, in the year-ago quarter we reported a net loss of $31 million or $0.09 per share. As we’ve done in previous quarters, at the end of these presentation slides we have provided supplemental slides showing details on retirement related expense and our results on a pro forma basis, excluding retirement related expense. Now, moving on to orders and revenue trends in the quarter, please turn to slide three. Services orders showed double-digit declines from year ago levels. This order weakness was across our industries and geographies with the exception that we did see slight order growth in our non-US federal public sector business. At September 30, 2008, we had $6.5 billion in services backlog, which was down 9% from our services backlog at June 30. On a constant currency basis, services backlog was down 3%. In terms of revenue, more than half of the year-over-year revenue decline was due to declines in financial services. Revenue decline in federal was the other major contributor to revenue decline year-over-year. The only industry where we saw revenue growth in the quarter was in the worldwide public sector, excluding US federal. We also saw an impact in our strategic program revenue. As a reminder, our strategic growth programs are outsourcing, enterprise security, open source, Microsoft solution and services real time infrastructure. After growing in the 8% to 10% range over the past couple of years, our overall strategic program revenue declined about 2% in the third quarter. We saw continued growth in open source and RTI programs, but we are impacted by declines in outsourcing which represent about two-thirds of the total strategic program revenue and in Microsoft and enterprise security. So we are clearly seeing an impact as financial services firms and other organizations tighten IT spending in an uncertain economic environment. Please turn to slide four for an overview of our third quarter revenue by geography. Our US revenue declined 8% in the quarter, driven primarily by softness in financial services and US federal revenue. The US represented 43% of our revenue in the quarter. International revenue accounted for 57% of revenue in the quarter and declined 4%. On a constant currency basis, international revenue declined 9% in the quarter. Internationally, we saw growth in public sector revenue, which was more than offset by declines in financial services and other commercial markets. Slide five shows our third quarter revenue by business segment. Services revenue declined 5% in the quarter and represented 88% of our third quarter revenue. Technology revenue declined 9% and represented 12% of our revenue in the quarter. For more detail on our services revenue, please turn to slide six. We saw volume declines across our services business in the quarter with the largest percentage declines in infrastructure services and in core maintenance. The slight revenue decline in outsourcing was driven in our BPO business which as you know is focused primarily in the financial services space. Our ITO business was essentially flat in the quarter. We expect the weak demand environment to continue to impact our services revenue in the fourth quarter. Slide seven provides more detail on our technology revenue in the quarter. The technology revenue decline in the quarter primarily reflects the ending of the $18.8 million in quarterly revenue from our licensing agreement with Nihon Unisys Ltd. which ended March 31, of this year. Excluding the NUL royalty revenue from a year-ago period, our technology customer revenue grew 2% in the quarter. Enterprise server revenue grew 6% in the quarter, driven by growth in ClearPath revenue, as we closed a number of ClearPath deals in the quarter. However, we expect a secular decline in this business to continue and against a very tough compare in the fourth quarter of 2007 when we had unusually strong mainframe sales, we expect ClearPath revenue to be down significantly in the fourth quarter. Specialized revenue declined 54% in the quarter, primarily reflecting the ending of the NUL royalty revenue. Slide eight shows a comparison of our margins in the quarter from the year-ago period. We have shown our margins on a GAAP basis as well as a non-GAAP basis excluding retirement related expense and cost reduction charges. As you can see, non-GAAP gross margin and operating margin were down for the company overall and for our services business. The margin deterioration in services reflects lower revenue volumes and additionally, expansion of our offshore resources slowed in the third quarter. Given the weak demand environment, particularly in financial services, we have revised our year-end goals for our offshore resources. We now expect to have about 4,500 total offshore resources at year end 2008 versus our previously planned total of about 6,000 offshore resources. In our technology segment, non-GAAP gross margins increased by nearly 300 basis points year-over-year and our non-GAAP operating profit margin more than doubled from a year ago. This margin improvement reflects the stronger ClearPath sales and revenue mix in the quarter. Given the tough demand picture, we are reducing expenses, especially controllable operating expenses as we work through this challenging business environment. Now, please turn to slide nine for an overview of cash flow which was a bright point in the quarter. We continue to place strong focus on enhancing cash flow. The company generated $114 million of cash from operations and $36 million of free cash in the quarter. Cash on hand increased to $494 million. Year-over-year, operating cash flow improved by $107 million and free cash flow improved by $100 million year-over-year. The improvement in cash flow was primarily driven by higher ClearPath sales, improved customer collections and lower restructuring payments. We used approximately $6 million of cash in the quarter for restructuring payments, compared to $37 million in the third quarter of 2007. Depreciation and amortization was $98 million in the third quarter and capital expenditures were $78 million in the third quarter, compared with $71 million in the year ago period. The increase was due primarily to the build out of large outsourcing engagements awarded in 2007 and early 2008. We intend to tightly manage capital expenditures as we work through the tough economic environment and business downturn. Looking ahead for the full year 2008, we anticipate capital expenditures of around $280 million to $300 million depreciation in the $370 million to $390 million range. Finally, let me comment briefly on our pension plans relative to the current turmoil in the financial markets. Our US defined benefit pension plan was over 100% funded at the end of 2007 and even with the downturns in the markets in 2008 through August of this year, we were not at a level that might require funding. As we all know, the markets have taken a significant downturn over the last 60 days and if the returns on our plans do not improve significantly through the end of the year, we would most likely have pension expense in 2009 and a funding requirement in 2010 for our US defined benefit plan. As we’ve mentioned in the past, projections of pension expense or pension income are very difficult until very near the end of the year, since pension expense is highly dependent on the absolute level of plan assets and the long-term discount rate; both for a GAAP basis are determined on December 31. Likewise, the amount of any funding requirement in 2010 would be determined by the plan’s funded status at December 31, 2008. So the amount of possible pension expense or funding cannot be determined until the end of the year. We will be able to give you a more definitive update on this on our January 2009 call. Moving to slide 10, as we look to the fourth quarter, we expect the current weak economic environment to continue. Given this, we are taking actions to reduce operating expenses in the fourth quarter, particularly SG&A. Some of these actions have already begun and others will follow through the course of the quarter and continue into next year. Based on the current business environment, we are no longer targeting an 8% to 10% operating profit margin for the second half of 2008. Our focus will be on driving cost efficiencies throughout the organization and generating free cash flow. We are moving quickly to do this and I know Ed will provide some more color on our priorities for the organization. That concludes my comments this morning and now I’d like to turn the call back over to Ed.
Ed Coleman: Thanks, Janet. As these results indicate, we have a lot of work to do. While Unisys has many strengths to build on, the company clearly is not meeting its potential and needs greater focus on how we apply our resources. To turn this picture around, we need to move quickly and with a sense of urgency, but also in an informed way with purpose and a clear plan. As you know, this year the company has been reviewing options to drive shareholder value, that process continues. Building on the work and analysis has already been done. I’m taking a fresh look at all aspects of the company’s strategies, operations, portfolio and go to market approach. Since joining Unisys, I’ve talked with hundreds of employees, as well as clients and business partners. I plan to talk with many more in the weeks ahead. In my conversations over breakfast and lunch and in town hall meetings, I’m asking people for their ideas on what makes Unisys strong? What are the basic fundamental strengths of the company? What do we do better than anyone else in the world and what might be keeping us from doing that work in a way that meets client needs and generates growing profits? I’m still in the process of gathering information, but I want you to be aware of the principles that I think are key. The first is that successful companies build on their strengths; especially in a turnaround situation it’s critical that we build our foundation on what we’re good at, because those are the areas that clients value and where we can capture reputation, mind share and margin. The second principle is successful companies build on exceptional customer service. It’s my strong belief that the only true and lasting differentiator in IT services and solutions business is the quality of service delivered as perceived by the customer. If we’re not satisfying the needs of our customers in a way that drives long-term client loyalty, no company or turnaround will be successful in the long run. The third principle is that while success is measured from the outside with clients, turnaround is built from the inside out, starting with employees. We must have highly skilled, focused and motivated employees for this turnaround to work. That’s why I’ve been spending so much time over the past three weeks talking with employees to get a direct unfiltered perspective on their views and concerns. Finally, I’m a big believer in organizational simplicity. A complex organization is a confused and an expensive organization; especially in this industry, successful companies who have clear lines of accountability, are aligned around common goals and tactics and are efficient and streamlined from a cost perspective. That are my early observations after three weeks on the job here at Unisys. I’m very impressed with the quality of the people here; their skilled, their capabilities and ideas, their commitment to clients. The company has some real strengths to build on, such as our expertise in security, our Federal Government practice, our services and solutions for outsourcing and real-time infrastructure, our understanding of high end mission critical servers and our capability to tackle and solve large scale, complex systems integration projects. These strengths are hard to come by in this industry. Along with our people and our long-standing client relationships, they offer a strong foundation to build on. At the same time, I can see that we’re too diffused. Our people are working very hard and diligently but our resources and energies are spread across too many countries, offerings, initiatives and organizations. We need to have a clear focus on the markets we intend to serve. Our organization is too matrix and complicated and that leads to an expense structure that’s too high. We need to simplify and significantly reduce costs and expenses and get ourselves into lean fighting shape for the market. As I’ve mentioned earlier, I haven’t yet determined the exact formula for Unisys, but I do know that in an industry as vast fragmented and growing as this one, there is simply no reason why a company with our people, assets and capabilities; a company with a nearly $5 billion services business and a sizable technology business serving some of the finest clients in the world; there is no reason why we cannot be consistently growing and profitable. To get there, we’ll be working on activities at four levels. I’ve highlighted these in slide 11 of this presentation. First, to drive the top line, we must concentrate our resources on fewer markets with a more focused set of offerings. This will allow us to gain the critical mass we need to deliver the superior service and solutions that will stand out to clients and keep them coming back to Unisys. Second, in these chosen markets, we must ensure that we have a clear differentiated value proposition that clients recognize and value; delivered with a level of service quality that is recognized as best in the industry. I’m convinced that with the kind of service and technological capabilities that are in this company’s DNA, we can achieve this market differentiation if we pick our spots carefully and execute with precision. Third, we must have a highly skilled, highly utilized and cost competitive labor force to deliver on our set of focused offerings. Off-shoring is certainly a part of this equation but we must also be looking at the overall leverage we have in our delivery model including both offshore and on-shore. Finally, to be more competitive, we must simplify our organization and improve our expense structure. Every dollar of expense matters in this industry and must be spent for the clear business purpose of driving revenue, margin and customer satisfaction. Going forward, we will be managing our business to be lean. Having spent a number of years in the PC industry and in distribution, I understand the critical importance of cost, expense and working capital management. Given the environment that we’re facing right now, we will be placing a great deal of our immediate focus in this last area of simplification and expense reduction. We plan to be aggressive in this area and have already begun to take actions. So sitting here today, I see four important ingredients to our success: narrow our focus and concentrate our resources; deliver a differentiated value proposition for our offerings; improve management of our labor model, both on-shore and offshore; and fourth, simplify our organization and reduce SG&A. We will be working all of these in the coming weeks and months with an aggressive and immediate focus on reducing our expense structure. This is about execution. I’m optimistic that there are a number of things that we can do to impact the financial performance of the Company in the short-term as well as over the long-term. It will not be easy, especially in the midst of an economic downturn, but we have strong tangible assets to take us through. A loyal, long-standing client base, a $2 billion stable annuity based outsourcing business, a very solid legacy of data center leadership including hardware, software and services, large scale of systems integration strengths, a committed and talented workforce and we generated positive free cash flow and have nearly $500 million in cash on hand. Our goal is to create a financially consistent and predictable company that is growing, delivering outstanding service, generating competitive profit margins, building our free cash flow and delivering value to all of our stakeholders. Once again, it’s a pleasure to be speaking with you this morning. I thank you for your time and Janet and I would now like to open the call up for questions. 
Operator: (Operator Instructions) Our first question comes from Jason Kupferberg - UBS.
Jason Kupferberg - UBS: I wanted to ask you a question to start off or maybe a two-part question, actually. The first one is, can you give us a rough idea of how long you think it may take for you to put a concrete plan in place, understanding that you’ve only been on the job for a few weeks now and kind of a follow-up to that, based on what you know about the three year restructuring program that Unisys is finishing up now, what are some of the things that you might look to do differently?
Ed Coleman: Well thanks Jason, great question. For the first part of it, I would plan that by the end of this year, I ought to be able to be much more explicit about the path forward and the actions that we’re going to take, both tactically and strategically, but I don’t want to leave the impression that we’re not doing anything until we make some announcement as to the way forward. There are lots of things that we can be doing and are doing right now that begin to affect the expense structure, as well as focusing on where we play stronger in the marketplace and where are areas that perhaps we should not be playing. The second part of your question I think kind of ties back to that, that in terms of restructuring programs and strategic programs and the like, I really don’t see this as an event or a project. This is really about how we manage the business on a day-to-day basis and are we being as cost effective as we can be every week and every month? Are we improving the cost of our service delivery? Are we taking expense out wherever we can and turn this from a program mentality into a way of doing business mentality and that’s much more in line with my philosophy, because this has to be a part of the daily management of the business.
Jason Kupferberg - UBS: Okay and should we expect to see some new restructuring charges as part of some of the actions that you are already taking or is it too soon for that?
Janet Haugen: Jason, it’s Janet, good morning. The actions that we are taking right now as we said in the comments are focused in the SG&A area. The first area we’re going after is with discretionary spend, it’s not employee related and so those areas are things that do not have restructuring expense related with them. We are continuing to try to make these actions pay for themselves in the short-term time period, so as of right now we have no plans for a large restructuring charge. These are things we’re going to in this early stage manage through the operations and the costs.
Jason Kupferberg - UBS: Okay and then just a couple questions on the quarter itself. What happened in federal, if you can give us some more specifics there, because pretty much all the peer play federal IT vendors are reporting strong bookings. It’s obviously the end of the Federal Government’s fiscal year in September when they tend to have some kind of spending flush. I guess you guys maybe didn’t participate as much as in the past or were there specific agencies or programs within US Federal that fell short of expectations?
Janet Haugen: Jason, on our federal business, our federal business is up orders wise about 15% year-to-date, but in the third quarter we were flat in orders and you’re right, we normally see a push or a close out of the end of the fiscal year and we did not see that across our agencies this year. It may be the mix. We are predominantly in Homeland Security, civilian agencies and then defense is the smallest component of our federal business. It may be the mix of business that causes that difference. While we do have order increase year-to-date, we did have flat orders this quarter in a quarter that you usually see a little bit more close out, we didn’t participate in that this quarter and our revenue was down as we said on the call.
Jason Kupferberg - UBS: And just a last question on the outsourcing business, I know you covered this a little bit, but it was down year-over-year for the first time in over two years. Maybe some of this was currency, but people tend to think of outsourcing as kind of being fairly steady throughout different economic cycles. Was this just a function of lower volumes on your BPO contracts?
Janet Haugen: Thanks Jason for that clarification. As I said in my comments, our ITO business was essentially flat in the quarter. So when you look at the two portions of outsourcing, BPO and ITO, ITO was flat in the quarter. We do have a nice pipeline of opportunities in that ITO space and so we still feel good about the growth prospects for that business, although it was flat this quarter. The decline in the outsourcing business is really attributable to the BPO and it is predominantly financial services driven, causing that decline.
Operator: Your next question comes from Eric Boyer - Wachovia.
Eric Boyer - Wachovia: I was just wondering if you could update us on the timing of the TSA award.
Janet Haugen: We do not have an indication of timing right now. We are still waiting for that to come from the agency.
Ed Coleman: The RFP has not been let yet.
Eric Boyer – Wachovia: Okay and just on I guess your outsourcing business and the orders; I can understand why they would be down in the economic softness we’re seeing now. I was just wondering, has the win rate changed at all on that business?
Janet Haugen : Eric, it’s not a question of win rate, it’s a question of timing. If you look at outsourcing orders that we had in this quarter, if we did not see the impact of the financial credit crisis, three of our large orders that we were anticipating working and closing with a high probability for the quarter, all delayed as a result of decisions or institutional issues. So we think the prospects are good for us in the pipeline for outsourcing. We think the environment we saw in the third quarter is more event-driven; particularly in these three large ones that we were working on and we expect to continue to gain momentum as we close the order pipeline going forward. So it’s not a decline in the win rate, other than the fact that we did see in particular three large deals that we had anticipated to close this quarter, be delayed as a result of issue in their own institutions.
Eric Boyer - Wachovia: Okay and could you just comment then on that pipeline. You were talking about, the strength there; is it mostly existing customers, kind of the mix between new and existing customers?
Janet Haugen: In the outsourcing business across all the portfolios, that’s where we see a higher percentage of new customers compared to the rest of our portfolio and that profile continues. It’s a mix of new and existing customers, but more weighted to new customers than any other area of our portfolio.
Operator: And that does conclude the question-and-answer session. For any additional or closing remarks I’ll turn the conference back over to our presenters.
Ed Coleman : Thank you very much for joining our call today and look forward to speaking with you next quarter and all the best to you. Thank you.